Operator: Ladies and gentlemen, welcome to the Arkema’s Third Quarter 2016 Results Conference Call. I now hand over to Mr. Thierry Lemonnier, CEO Arkema Group. Sir, please go ahead.
Thierry Lemonnier: Thank you. Good morning, and welcome to this conference call. With me today are Sophie Fouillat and Francois Ruas from Investor Relations. As usual, we have posted on our website in addition to the press release a set of slides which details the third quarter performance which I am pleased to present to you today. As you have seen from the release this morning, after a strong first half of the year, Arkema achieved another very good performance this quarter. Before looking at these results in more details, I would like to highlight a few key points. The first is the EBITDA which at EUR303 million is up 6% on last year already stronger [indiscernible]. This performance is driven by a very good result in our High Performance Materials and Industrial Specialties division and with another whole stable performance in Coating Solutions. It’s an all-time high in the third quarter for Arkema. And in the current volatile and moderate growth environment, it is a strong achievement underlying the quality of our portfolio in the step up in Group’s profile achieved over the past few years. EBITDA margin is at 16.5%, significantly up compared to last year benefiting from the development of our specialty businesses along with the progress made by Bostik. Secondly, cash generation is excellent with free cash flow of EUR245. The highest even delivered by Arkema. After an excellent show in 2015 and a very good performance in the first half, the third quarter cash generation further illustrates the strong forecast we have within Arkema. Accordingly, net debt was significantly down at EUR1.2 billion compared to EUR1.4 billion at the end of June and gearing is at 29%. Surely it has been a very busy quarter with the announcement of several new projects. Since the end of June, we have announced the project to acquire Den Braven, a leader in high performance sealants in Europe. We have just received last week the approval by the European Commission and we are well on track to complete this acquisition before year-end. Still on M&A, we have completed also only this month divestment of our Activated Carbon and Filter Aid business to Calgon Carbon, based on the number price value of EUR145 million and an EBITDA multiple of 9.5. On geographic expansion, beyond Bostik’s new unit in Sweden, we have announced several expansions in Technical Polymers to meet the growing demand in new energies, water treatment and lightweight materials. We will have two new compounding lines in China in 2017 for our specialty polyamides and we will increase by 25% the production of our PVDF Kynar in China, also due to start with 2017. So we continue to actively implement our strategy to further develop our High Performance Material divisions and enhance the Group’s profile. Lastly given the strong performance achieved over the first nine months of the year, we have decided to address our full year guidance upwards and we now in to grow EBITDA by some 9% to 10% compared to 2015. So as you see, we continue to deliver on our strategy and confirm our good moment. Let’s now look in more details at the third quarter performance. At EUR1.84 billion sales was down 5.5% year-on-year. This is mostly due to some raw material pursue to our customer and to the divestment of Sunclear at the end of last year. Volumes are up 2% and improvised in all three divisions. Over the first nine months, they are 2.4% year-on-year reflecting both our innovation efforts and geographic expansion. This is a solid performance in an environment where growth is overall has moderate. As already mentioned, EBITDA came at EUR303 million, which is up 6% on last year was already strong third quarter. This performance was reported by the growth in High Performance Materials and Industrial Specialties. EBITDA margin at 16.5% is significantly up compared to last year, driven by very good margins in Industrial Specialties and High Performance Materials. With D&A at EUR113 million slightly up on last year recurring operating income to that EUR190 million. Non-recurring charges amounted to EUR19 million including both non-cash amortization charge related to Bostik PPA and the restructuring charges accounted for as part of the proposed shutdown of a R134a fluorogas production plant in Pierre-Bénite, France. Taxes stood at EUR51 million including EUR3 million positive deferred taxes related to Bostik PPA. Excluding this item, tax rate stands at 28% of the recurring operating income for the full year and we confirm out guidance at 30% of recurring operating income. Adjusted net income reached EUR110 million, 16% up on last year, that is EUR1.45 per share. Let’s now go through the performance of each of our three business divisions. Sales in High Performance Materials were 3.5% lower than last year. Prices were impacted by a product mix slightly different on net share as well as some raw material costs, resulting in a minus 2.5% price effect. Translation effect was slightly negative. This effect was partly compensated by 1.2% volume growth, despite a strong comparison days of last year. We are continued to benefit from further good development in Technical Polymers in lighter materials and new energies. However, demand in oil and gas applications was as expected below last year and below the beginning of the year. This mainly relates to delays in offshore projects which impacted our customers. EBITDA at EUR140 million is up 7% on last year, reported by the strong performance of Technical Polymers and very solid performance at Bostik. With an EBITDA of 4% compared to last year, Bostik benefited from its development and synergies with Arkema which more than offset negative translation effects. EBITDA margin for the divisions stands at very good 16.7%, 160 basis points above last year. Following an excellent first half of the year, performance in Industrial Specialties was again very strong this quarter. Sales however were down 9% at EUR553 million. If they clean the impact of the Sunclear divestment and minus 4% price effect on raw material pass through and a different product mix than last year in certain businesses. Volumes are up 1% reported by a good demand in fluorogases and PMMA which more than offset the impact of the regulatory maintenance turnaround in Thiochemicals in Malaysia. At EUR123 million, EBITDA is up 8% with an excellent EBITDA margin at 22.2%. Fluorogases realized a good performance benefiting on step by step increasing prices of certain products. An internal action we have announced project to close our R134a plant in Pierre-Bénite in France to adapt to the regulatory changes in this market. This should be effective in 2017 once the information and consultation process with work in canceled is over. In PMMA, market conditions continued to be favorable. And in Thiochemicals, performance was slightly below last year impacted by the regulatory maintenance turnaround in Malaysia that has to be done one year or still the initial startup of the plant. The unit have restarted at the beginning of the third quarter are now running well. In Coating Solutions, the performance continues to resist well and confirm the stabilization of market conditions in acrylic monomers at low point since the end of 2015. Sales stood at EUR442 million, down 5% compared to last year. The strong volume growth of 4.6% mainly driven by acrylic monomers partly offset the minus 9% price effect which mainly reflected lower raw material prices. At EUR54 million, EBITDA was slightly up compared to last year confirming the benefit of innovation in downstream acrylics and the overall stabilization of acrylic monomers. EBITDA margin was up at 12.2%. A few comments now on cash flow and net debt, which are once again very satisfactory points of this quarter. Free cash flow generation was very strong this quarter about EUR245 million, which is out best ever quarterly performance. It’s a combination of EBITDA, higher working capital inflow and slightly lower CapEx. It also included EUR21 million tax credit refund which last year was paid in the last quarter, but even from this performance remained excellent. For CapEx, we expect for the full year to spend slightly below EUR450 million. In M&A, we had EUR44 million cash which mainly corresponds to the implementation of the agreements we concluded this summer with Jurong in acrylics in China. Including these, our net cash flow amounted to EUR201million. And as a consequence, net debt at the end of the September stood at EUR1.2 billion. For the net debt at year end, I remind you that we paid the EUR33 million interest on our hybrid bond in October and that we have just received EUR145 million configuration for the sale of our activated carbon and filter business. We will also very probably or before year end, cash for the acquisition of Den Braven which is based on the EUR485 million enterprise value. To highlight a little bit more of strong care that we are put on cash generation since few times now, we can refer to slide11 of our presentation where you can see that accumulative cash generation for the first nine months of the year is significantly above prior year level. We have benefited from the actions put in place to strictly manage our working capital and to reduce our capital intensity. This is something we will continue to do in order to maintain a strong EBITDA to cash conversion in line with our mid-term ambition probably one of the best among our peers. I will now comment the outlook for the full year. We will continue to focus on the elements we control which notably include the development of Bostik, the benefit of our innovation efforts on megatrend and our operational excellence initiatives. On the basis of the strong performance delivered over the first nine months is while taking into account the economic environment which remains obviously quite volatile. We have adjusted upwards of target. Assuming energy, raw material and currency in continuity of the third quarter and taking into account the usual year-end seasonality, we now aim to achieve a significant EBITDA growth of some 8% to 10% over the year compared to 2015. This we believe would really be an excellent achievement in our industry. Thank you very much for your attention. And I am now ready to answer to your questions.
Operator: [Operator Instructions] We have a question from Mr. Thomas Wrigglesworth from Citigroup. Sir, please go ahead.
Thomas Wrigglesworth: Alright, thank you very much. Thierry, thank you very much for your presentation. Three questions if I may. Just on your full year guidance for 2016, if I look at what you achieved in 2015 and applied the kind of high end of the range, it still implies that the fourth quarter EBITDA would kind of be in line with 2015, which looks conservative given how though things were in Coating Solutions. Is there something that in the fourth quarter that you see that is going to be offsetting what has been good growth trend in the first nine months? Second question if I may. You’ve been talking about slowdown in filtration and absorption in High Performance Materials has that started to come through in these third numbers, and if you were just out that slowdown in that business, what would have been the volume growth in HPM? And then lastly, outside of the seasonality, could you just give us your outlook for fluorogas is over into 2017, obviously you got the Changshu plant coming in, how much is that going to add in 2017, and what’s the price dynamics, obviously there’s been the evolution of pricing on the back of coated systems in the U.S. and in Europe this year, so what - how do you see prices in fluorogas is playing out through the next 12 months? Thank you.
Thierry Lemonnier: Okay, Thomas. So I will try to answer three questions. First on the implicit fourth quarter EBITDA included in our guidance, you are absolutely right that it means that it mean fourth quarter EBITDA comparable to the one that we achieved last year. It doesn’t mean that we are seeing any change in the environment. And October was clearly in line with what we have seen during the third quarter, so there is no change there. But we also has to be cautious about on the end of year and especially on the robust ability that we have on the month of December where depending on the anticipation of market conditions and prices. Customers may destock or restock, so it’s an element of uncertainty that we have to take into account. You may consider that we are a little bit cautious that once again in this - in the present environment we prefer to be cautious and to deliver what we promise. So globally and once again it doesn’t mean that we are anticipating any change in the [indiscernible] it’s just relative to the specific situation of the months of December. Taking also into account that the difference that we have for last year is already relatively high. But your question about filtration and activity, what we have said is that we expected 2016 to be below 2015. And it is something that we confirm. As you know it’s an activity which is not linear, so that can explain some significant difference on one period to the other. We had last year was strong fourth quarter. We anticipate in this fourth quarter of this year all over activity, it’s just the consequence of the calendar of replacement of existing equipment and once again not to change in the - on the environment. For fluorogas, the seasonality that we anticipated is a normal seasonality which means that we expect Q4 to be significantly below the other quarter. We were positively surprised by the good performance in fluorogas in the third quarter taking into account a normal seasonality, so it’s performance which was slightly above what we could have expected because of the traditional seasonality. This is related to some restocking and it’s very difficult to say but maybe there has been some adjustment due to the fact that now market conditions and dumping duties are qualitatively well known. So globally we expect the Q4 a little bit better than last year level but not much because of the return of normal seasonality sequence in Q4.
Thomas Wrigglesworth: And looking at the 2017?
Thierry Lemonnier: Well, 2017 - for 2017, we expect to achieve the economy of EUR80 million that we have announced in 2014 and we are perfectly on track with this roadmap and even a little bit in advance on our initial roadmap. As far as the Changshu plan is concerned, we don’t expect any contribution in 2017. As you know the development of the sales of the 1234yf depends on the outcome of the European Commission decision which is for the time being still unknown. We expect to have some clarification during the first half of the year but it’s not in our hand. So cautiously, I think it’s better to consider that we will not have any contribution from this plan in 2017.
Thomas Wrigglesworth: Okay, thank you very much.
Thierry Lemonnier: Thank you, Thomas.
Operator: We have another question from Mr. Emmanuel Matot from Oddo Securities, Sir, please go ahead.
Emmanuel Matot: Yes, good morning. Do you hear me?
Thierry Lemonnier: Yes, Emmanuel.
Emmanuel Matot: Three questions from also. First, on acrylic, actually do you expect any margin to start to recover from Q4? Are you seeing also better pricing conditions into the public action [ph] in Germany? And in China, do you see some production capacities to be shut down by your competitor? So that’s my first question. Second, what should be the key organic drivers for you in 2017, could you mention them clearly please? And my last question is about your free cash generation which was very impressive in Q3, even excluding the tax credit you received. Could we have a new record in Q4 as the seasonality used to be available to cash generation? Thank you.
Thierry Lemonnier: Okay. So Emmanuel - okay so it’s very different question. With acrylic, the improvement that we expect in Q4 is more coming from volumes than from margins which still remains quite low and stable since the second quarter. As opposed to fluorogas, where we have - I think that we are - we can say that we are of initial anticipating in acrylic clearly. We are little bit below what we initially expected in terms of performance. Volume has started to improve and will continue to improve in Q4 but it is to larger extent related to 100 days that we are in 2015. And in terms of margins, we are still at level which are extremely low. It’s difficult to say whether the underlying market conditions are better because we are also to say some propylene price variation which also had an impact on margin. We have been able to pass through the increase of the price of propylene, but it did not improve the margins. So in acrylic situation remains quite challenging. We expect some improvement as we in 2017 to occur probably on the first half of the year but as long as we have not seen clearly an improvement of the margin. It’s very difficult to - clearly a question mark for the beginning of 2017 even if I said volumes are going up. In globally as we said, we expect improvement to start and should be seen sooner in North America than in China where the reason of adjustment of capacity is takes more times than what we initially expected. So for acrylics, the good point is that it’s not deteriorating anymore, it’s stable. But the improvement that we are seeing or that we are expecting for the fourth quarter is once again not coming from volumes. And this improvement will however be limited because as you know for reasons which are entirely due to us we have to postpone maintenance turnaround of Carling in France on the sale to fourth quarter. So yes we will have some additional volumes in Q4 as compared to last year, but it will be limited base impact of this turnaround. For 2017 well you know we have defined the driver of the performance of 2017 when we defined our roadmap for the period 2014 and 2015 the driver will continue to be plastic and organic growth investments the in terms of on [indiscernible] question mark will remain as a contribution of acrylics and the improvement of condition - market conditions for 2017. For free cash flow, well EBITDA for the first quarter are being lower than during the third difficult to imagine that cash flow will be a higher in the fourth quarter, and then in the third quarter and the net cash obviously will be negative, because of Den Braven, but it will be limited as I said during my presentation by cash inflow coming from the divestment of certain activity which has been received the beginning of November.
Emmanuel Matot: Okay, thank you for the answers. Thanks.
Thierry Lemonnier: You are welcome.
Operator: We have another question from Mr. Jean-François Meymandi from Morgan Stanley. Sir please go ahead.
Jean-François Meymandi: Hi, good morning. Three question on my side, the first one I would like to speak about your chemicals, can you speak about obviously you had your own your shutdown in Q3 which didn't happen last year this point did you manage to be flat to up or where you down in EBITDA generation in Thiochemicals. Then when I look into 2017 do you have space to increase volumes shipments in Thiochemicals in 2017 versus 2016? The second one just a housekeeping one, in terms of your divestment, what's the tax rate we should assume on the divestments of this €145 million to see a net cash flow figure for your M&A transactions? And the third one into fluorogases again sorry, you say you're a bit ahead of plan, does that mean that most of the improvements have been done or you see further on through exceed your target that you've been giving on the capital market last year? And lastly on fluorogases, we've been talking about the decision from the European Commission for a long, long while now. Why do you think they take so much time?
Thierry Lemonnier: Okay Jean-François. First on Thiochemicals the impact of the maintenance turnaround as being slightly negative, but we have been able to set most of this negative impact, but not all of it. So year-on-year Thiochemicals performance is lower in 2016. For 2017 we have some potential for increase of volumes, but not in the way, we are running - you need that full capacity, but it is limited so if we were to set to a more aggressive and more ambitious target in term of growth for Thiochemicals and the one that we have included in our roadmap. We would have further on the term to make some additional investments. For the tax rate for divestment sales there is an element that you don't have that we’ll not provide - there is a book value - is a book value of the assets that we are selling, but I don't anticipate that the tax which would be very high, because of the specific situation of the countries where the asset allocated. So it should be very limited.
Jean-François Meymandi: So I should assume almost €125 million.
Thierry Lemonnier: It is slightly below, it's slightly below, but not much. You will not be - you will not be very far from the actual figure. For fluorogases, yes I confirm that we are ahead of initial plan, however we don't change, we will not change certainly not at this stage the target that we have set, which is to because of the €18 million out of the €100 million that we have locked in 2014, obviously our target is to achieve that as such as possible, and we can do more obviously. We'll do it, but for the time being it's much too early and we will stick to our initial target, which is to recover €80 million at the end of 2017. For the European Commission is should difficult to for me to answer because, the answer to the question that we are - you’re asking obviously in the end of the European Commission that - I would say the only good comment I could make is that it's a complex case it can be easily summarize, but within the case there are many detail on test packs which has to push us to managed by the team of European Commission, and that is the reason why it takes time, and when you raise a point additional questions on sales perspective, so it's a long process, longer than what we initially expected since is clearly feeling much longer. But we can expect an issue in2017 and hopefully during the first half of the year.
Jean-François Meymandi: But slightly you're going to missed initial target of January 1, 2017 when the regulation changes?
Thierry Lemonnier: For 2017 we did not included, we did we did not include any contribution from the plan, so it’s is not a change it beyond 2017 that it could have an impact.
Jean-François Meymandi: Okay. Thank you for this.
Thierry Lemonnier: Thank you.
Operator: We have another question from Mr. Martin Roediger from Kepler Cheuvreux. Sir please go ahead.
Martin Roediger: Thanks for taking my questions. And first on Bostik, we see EBITDA up by 4% you said margins have increased it looks to me that the organic sales for Bostik was quite modest. What has held back to the organic top line performance of Bostik? That’s my first question. The second question is on Industrial Specialties and here in particular on hydrogen peroxide, in the past you’ve mentioned that this business unit forms quite well, now you did not mention the business unit at all although according to my calculations it should be still clearly up year-over-year also in organic terms. So maybe you can clarify that. On cash flow, I just want to understand the timing of the tax credit you said you received it in Q4 last year, but now it has a cash impact in Q3 is basically three quarters later maybe you can help me to getting you a better understanding? And finally, it is on your new production facilities coming on stream, the two compounding lines in Technical Polymers and the new polyester powder resins in India. Can we get a sense of the capacity of these production facilities coming on stream? Thanks.
Thierry Lemonnier: Okay. So first Bostik gross, we are in line in term of organic growth what we expected. What we can say about the Bostik is that the progression year-on-year is certainly higher during the first half of the year and then it will be during the second part of the year, and it is mostly as a consequence the fact integration and the rapid implementation of the synergies that we've put in place during the first half of the year. So Bostik is continuing to develop well, it contribute to performance to the increase of the performance of the segment. But lower volume growth rate than during the first half of the year, which is normally just reflects the fact that we have been very quick to implement synergies and development plan within Bostik after the acquisition. For the full year however as we said we will achieve a target that we have initially define for 2017 that is one year however [ph] for schedule. On top of that there is an element that you have to take also into account when you look at the performance of Bostik and it is a number of working days and something that is not in very important of other activities, but in Bostik - for Bostik it's something it’s an indicator which is important and limited variation in working this from one quarter to the other may have an impact On the performance which is quite significant and something which will not survivable this year as last year. So that explain also why is the growth has been more limited than you could have expected for Bostik in the third quarter. For H202, no I did not mention H202 because in fact we had never had any questions about H202 is the business is doing pretty well. As you said we, have a developed, we are developing and continue to develop specialty applications which are contributing to the performance and year-on-year H202 performance as improved because of this development. So clearly I’m sorry not to mention it, but to something which continues to support the performance of the segment as you know H202 is the smallest of our product lines in Industrial Specialties. The question about the tax credit in fact, it is an element which is related to a specific situation in France where we benefit from tax credit related to R&D expenses and are reimbursed by the French administration after a period or four years. And the last two years we had this reimbursement, I think it was in December and this year we were happy to have the same reimbursement in September, so it’s just distance in timing of the of the reimbursement. For the contribution of our new investment in China, and in India was relatively small investment, they will contribute to support gross for polyamide in 2017 and for hard coatings and resin coatings for 2018 but its relatively limited something that we had to do to support the growth in those areas, but it effects however so good demand there.
Martin Roediger: Thank you.
Thierry Lemonnier: Thank you, Martin.
Operator: We have another question from Mr. Patrick Lambert from Raymond James. Sir please go ahead.
Patrick Lambert: Thanks for taking a few questions. The first one again on HP volume trends in terms of the 1.2 to which it’s actually underlying 1.2. Could you be a bit more precise on the different building blocks of that 1.2 how did Technical Polymers versus Sika [ph] versus Bostik date in Q3 is the first question. And second question on pensions, pensions actually going down in Q3 versus H1. I think is any risk of that trend to this in Q4 in terms of interest rates we’re seeing a lot of restating of pensions mechanically on interest rates. So if you could comment on that would be good. And I think that’s it for a moment. Thanks.
Thierry Lemonnier: Okay Patrick. For the HPM will just give you some qualitative comments about the volumes. Technical Polymers volumes were up above the average of the segments supported mostly by three of our polymer and to a lesser extent to specialty polyamides. Sika because of the filtration situation will be slightly below the average and Bostik in term of organic growth is I would say above the average, so having saying that you have Technical are Polymer and Bostik above and Sika below and that results in the 1%, 1.2% average.
Patrick Lambert: Perfect, thanks.
Thierry Lemonnier: For pension yes we may have an impact at year end if we had to - if we have to revise downwards our assumption for interest rates and we can equally make an equal impact, it's too early to say because those there is a view is that we have and interest rates right now is a little bit mixed and some indicators have shown some increase of interest rates and those are some downwards indications, so it's still difficult to describe. The impact however on pensions will be relatively limited since the amount of position is only €500 million it’s a significant amount that as compared to the chemical companies it’s relatively small number and the reason why the amount of position has declined since the beginning of the year is related to the changes that we brought to certain specific pension plans which less number. So it was to be an adjustment at year end because for change by the assumption for tax rate it will be limited.
Patrick Lambert: And in terms of cash out for pensions you have some P&L was very limited risk to patent to surcharge right?
Thierry Lemonnier: On average the cash outflows for pension is close to that I’ve are discussed which is included in EBITDA and the interest cost which is included in the financial changes. Obviously to another hedge because as you know the cash contributions are not linear you may have from time to time to make an average it’s a good, it’s a good estimate and we have no reason to consider that it will change in the future, which means that when you look at our cash flow, our cash flow statement you have no surprise the cash outflows correspond to what is included in EBITDA and what is included in interest charge.
Patrick Lambert: Thanks, Thierry.
Operator: We have another question from Mr. Peter Clark from Société Générale. Sir please go ahead.
Peter Clark: Yes, thank you. Thierry just something to clarify what you said on Bostik margin. I gauge and obviously very difficult with our numbers that we've got, but that’s actually the margin last year like is pretty similar to H1 and H2 obviously had to jump in H1 this year and then and this - in the third quarter anyway the improvement year-on-year my numbers anyway is less than a 100 basis points in the first half I would turn to basically, what you're saying is the synergy benefits started kicking in the second half of last year, pronounced first half of this year. So as you move into the second half this year well against a bit of a tougher year-on-year, so that’s the impact there's nothing else really that’s going on with the margin there, and then tied with that question, just on a raw material basket now for Bostik in particular just wondering how that is I presume it's still a very small favorable, but I presume you're expecting it maybe to turn a little bit going into next year? Thank you.
Thierry Lemonnier: Okay, Peter, so okay, yes I think that’s your analysis about Bostik is right, so clearly the impact of the synergies during first half of the year and then into 2016 explains the difference and otherwise we have not in your comments to make Bostik is continuing into production and we continue to progress in 2017 and for Bostik our target now is medium term target that we have defined, which is to double initial EBITDA by 2020 and together with organic growth of Bostik and the acquisition of them we are fully aligned with this subjective. In term of raw material amount it’s tough, I think it’s came to an end we still have some positive impact in Q3 and now we are in a situation which is hardest.
Peter Clark: Okay, thank you very much.
Thierry Lemonnier: Thank you, Peter.
Operator: We have another question from Mr. Alex Stwart from Barclays. Sir please go ahead.
Alex Stwart: Hi, good morning. Can you remind us what proportion roughly if the Performance Additives business comes in the oil and gas industry, and whether the slowdown you're seeing now is came through beginning at the longer cycle is most the oil to chemical companies suggesting conditions have been improving or only stabilizing. Secondly the volume recovery in acrylics looking across the downstream acrylic industries and to coatings, adhesives, super adsorbents polymers, none of them are really growing at 5% where as you’ve posted volume growth 45%. Can you give some indication why that is which end markets in particular causing your volumes to increase? And then thirdly on acrylic is the EBITDA contribution some kind of first line and some case still negligible, I think that was what you’ve previously said that would be great? Thank you so much.
Thierry Lemonnier: Okay. So yes well for oil and gas most of the dropping performance is coming from delayed projects. So it's not a market which has definitely did appear, it's a market that we can expect to recover when the price of oil will go up there will be some lag electron because between the date on which the oil company will decide to launch their projects and the time that which we will be in a position to sell our products and there will be several months. So there will be certainly some significant delays between the decision and positive impact for us, but it's not a market which as did appear the application is still there, the product and the development that we have undertaken with our partners. For the long term just a matter of timing and the challenge that we had to face with decline in demand for this specific application to compensate the volume by new application something that we succeeded quite well with the innovation that we brought to applications in new energies and lightweight materials. So acrylic the growth is coming - the volume growth is coming from monomers as I said it's coming mostly from this effect because of the low base that we had in 2015. So and part of it being related to not an instant around that we had in 2015 so it’s not because is the demand is booming the demand is continuing to grow driven by the two men and markets which are super adsorbents and coatings where the growth continue to be quite strong. But there has not been a change in market conditions that could explain the sudden 5% increase of volumes but it's not what I'm seeing which is back to the situation more on normal and the one that we had for Arkema in 2015. It’s not the contribution of Sunclear’s concerned we are still in China knock it conditions which are extremely challenging and the contribution of Sunclear continues to remain close to zero.
Alex Stwart: Okay that’s sound good, thank you. And so can I go about the first point, can you give any indication of what proportion of the adhesives business goes into the oil and gas industry?
Thierry Lemonnier: Most difficult.
Alex Stwart: Rough estimate, is actually fine.
Thierry Lemonnier: Well I think it's probably grow globally it was at around 2% to 3% of our global sales, but for obviously for Technical Polymer it was much higher than that Technical Polymer represent 10% of our sales so it’s probably certain 15%.
Alex Stwart: Okay perfect. Thank you so much.
Thierry Lemonnier: Okay, thank you.
Operator: We have another question from Mr. James Knight from Exane BNP Paribas. Sir please go ahead.
James Knight: Good morning. I have got a much longer term question, but it relates to fluorogases and that the recent amendments of the Montreal Protocol to the long term phase out of HSCs people talking about carbon dioxide as a potential substitute. How should we think about this in terms of or if you got any first thoughts on the potential impact in the short and long term on Arkema and your portfolio? Thank you.
Thierry Lemonnier: Hey James, so you are referring to the Kigali Amendment with Montreal Protocol, which has been published I think is a few weeks ago. For us it was not breaks through news it's something that we had in our no integrity didn't taken into account in our plans it has implemented in Europe. So in Europe it's clearly not a change. In the U.S. it is still difficult to see exactly what the timing will be because, it should start on 2019 but the conditions of the phase as to be defined will it [00:52:14] conditions that will be implemented it still difficult to serve. But once again for other countries such as China it’s a much longer issue we are talking about 2014 I think not completely sure, but I think it close to that horizon. So it's something once again which we already had enough plan, so there could be some specific points to follow especially in the U.S. but we don't expect significant impact on our fluorogas performance.
James Knight: Okay, thank you very much.
Thierry Lemonnier: Thank you, James.
Operator: We had no other questions.
Thierry Lemonnier: Okay. So I think - yes we have another one, no issue, we have another one will certainly take it no problem.
Operator: Okay. So, question from Mr. Patrick Lambert from Raymond James. Sir please go ahead.
Patrick Lambert: Hi quick follow-up on, for Thiochemicals if I look at my model on the sales number who would have gone down and moving and I was expecting thinking that you had stocks around, is that is that long or is the case? And the second question is on again Thiochemicals in 1234yf, I think if you look at Thiochemicals numbers and outlook 1234yf they are expanding capacities, they are expecting volumes. And I think that was one of the arguments you were using a limitation of access for customers to markets. Could you comment on that is that still an argument you can use for getting the commercial license there? Thanks.
Thierry Lemonnier: I think actually your question was about Thiochemicals?
Patrick Lambert: The first one yes, yes Thiochemicals, if I look at the assumed the estimated sales by for Thiochemicals 28% of a division that should have led to a decrease if I’m correct?
Thierry Lemonnier: You’re correct there has been a decrease because of maintenance turnaround in Malaysia. So yes we had and as is said we had negative impact on the Thiochemicals, we have been able to limit the impact of the maintenance turnaround, but it had a negative impact on those sales and EBITDA. For the 1234yf I cannot comment a legal method, what I can say that looking at what CMOS and Honeywell are saying about 1234yf that are expecting this market to be quite profitable. In term of legal issue it’s impossible for me to comment on that. Okay. Thank you, Patrick.
Thierry Lemonnier: And thank you to all of you and good bye now, see you later. Thank you. Bye-bye.
Operator: Ladies and gentlemen this concludes the conference call. Thank you for your participation. You may know disconnect.